Operator: Ladies and gentlemen, thank you for standing by. Welcome to the McGrath RentCorp First Quarter 2022 Earnings Conference call. At this time, all conference participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] This conference is being recorded today, Thursday, April 28, 2022. Before we begin, note that the matters the company management will be discussing today are not statements of historical facts or forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding our full year 2022 financial outlook, as well as statements relating to the company’s expectations, strategies, prospects or targets. These forward-looking statements are not guarantees of future performance and involve significant risks and uncertainties that could cause our actual results to differ materially from those projected. Important factors that could cause actual results to differ materially from the company’s expectations are disclosed under Risk Factors in the company’s Form 10-Q and other SEC filings. Forward-looking statements are made only as of the date hereof. Except as otherwise required by law, we assume no obligation to update any forward-looking statements. In addition to press release issued today, the company also filed with the SEC the earnings release on Form 8-K and its Form 10-Q for the quarter ended March 31, 2022. Speaking today will be Joe Hanna, Chief Executive Officer; and Keith Pratt, Chief Financial Officer. I will now turn the call over to Mr. Hanna. Please go ahead, sir.
Joe Hanna: Thank you, Norma. Good afternoon, and thank you, everyone, for joining us on today’s call. I am pleased to report that McGrath RentCorp has begun the year with strong first quarter performance from all of our business units. Companywide rental revenues increased an impressive 21%. This strong double-digit performance reflects favorable market conditions, focused execution and the benefit of the three strategic acquisitions we completed last year. Mobile Modular, our largest business segment realized a 32% increase in rental revenues. Strong demand in both our commercial and education market segments, as well as the new geographies added as a part of our acquisitions last year contributed to this robust growth. Our commercial projects serve broad-based needs such as commercial interim offices, as well as offices for municipalities and government agencies. Quite a few of the commercial projects we closed in the first quarter were custom and fit well with our unique production center capabilities that can modify our units to specific customer requirements. Funding for education projects has been generally good and activity for modernization and growth projects is healthy as districts emerge from COVID-related slowdowns. Booking activity, a key measurement of rental activity for the business more than doubled in the first quarter compared to a year ago. Units on rent also improved, utilization at quarter end improved even while we added new fleet and pricing improved. All these positive conditions combined create what I call a trifecta for our rental business and are a testament to the effective work being done each and every day by our teams. I would like to acknowledge our teams in the field who have been very busy preparing equipment for rent. I also want to highlight the progress we are making within our Modular business segment in our Portable Storage business. Total revenues improved by 35% for the quarter. We have been increasing pricing steadily over the past several quarters and realizing unit on rent growth in our legacy locations, as well as those acquired last year. Order volume for ground level offices at construction sites has been robust as customers appreciate the portability and ease of use of a container based office at their locations. Our teams are executing very well in a healthy end market environment. In addition, we have stepped up our spending to support the strong rental order activity we are experiencing, as inflation has reached highs not seen in many years, we have made it a priority to bring cost and price increases into as much alignment as possible to mitigate the longer term effect on our margins. Fortunately, the environment to move up pricing is good and we are doing so appropriately. Mobile Modular sales revenues increased in the quarter and indicate that we are making progress in our strategic focus on our largest division. New equipment sales can be an important and viable option for those who choose not to rent. We are bringing more solutions to our customers that have a need for a Modular building. A deeper look at our progress so far this year shows a healthy backlog, with booked new equipment sales projects to deliver this year ahead of where we were at this time last year. TRS-RenTelco rental revenue increase was driven by an increase in our communications rentals, where we saw robust demand for fiber testing and higher demand for 5G field installations, as activity is increasing to get various carriers more dense coverage nationwide. General purpose rentals also increased and confidence from our customers remains healthy. During the quarter, we launched our new TRS-RenTelco website, which is e-commerce capable and positions us as a leading resource in the industry. The site has many helpful features, including a total cost of ownership calculator that helps customers make decisions on when to rent or buy equipment. This is a tool that we believe is competitively unique to TRS and we are excited to promote this for our customers. I would encourage a visit to the website to review some of the features. At Adler, we delivered double-digit rental revenue growth from healthy project activity across all of our geographies. We saw particular strength in the environmental services market vertical in the first quarter and all verticals were healthy. Feedback from customers is that project activity should remain elevated throughout the year, so we are optimistic about Adler’s outlook for 2022. The team is doing great work, as they continue to run the business to capture opportunities and maximize cash. Our first quarter results are encouraging, and our teams across the country continue to deliver exceptional service and dedication to fulfill our customers’ needs and expectations. As we have shared on prior calls, our strategic priorities are centered on our Modular business. We are in the early innings of increasing the value we bring to customer’s rental solutions when choosing a Modular building, with continuing work to expand our custom Modular solutions, site-related services and Mobile Modular Plus offerings. We are excited to continue investment organically and through acquisitions to deploy growth capital and accelerate our priorities. With an experienced leadership team, track record of execution, strong balance sheet, and healthy free cash flow generation we are well positioned for long-term growth. Looking ahead, all of our business units are on a positive trajectory, barring any significant deterioration in the macroeconomic conditions, we are on a good footing as we enter the busiest time of the year. I am very pleased with our start to 2022 as we continue to execute our strategy. Now let me turn the call over to Keith.
Keith Pratt: Thank you, Joe, and good afternoon, everyone. We delivered strong results in the first quarter, with positive performance across the Board. Our core rental businesses were healthy along with incremental contributions from the acquisitions of Design Space, Kitchens To Go, and Titan Storage Containers completed last year as part of our strategic expansion objectives for our Modular business Together these acquisitions contributed approximately $18.2 million to total revenue, $4.9 million to adjusted EBITDA and $0.06 to earnings per diluted share for the quarter. Looking at the overall corporate results for the first quarter, total revenues increased 20% to $145.4 million. The revenue increase was primarily from improved rental operations along with higher sales revenues, with Mobile Modular, TRS-RenTelco and Adler Tanks each growing rental revenues year-over-year, reflecting improved business conditions. First quarter adjusted EBITDA increased 15% to $56.7 million and the consolidated adjusted EBITDA margin was 39%. Breaking the operating performance down by rental division compared to the first quarter of 2021. Mobile Modular total revenues increased $22 million or 32% to $90.6 million. There were increases across all revenue streams, including 32% higher rental revenues, 31% higher rental related services revenues and 36% higher sales revenues. With approximately two-thirds of the increase in rental revenues attributed to the Design Space, Kitchens To Go and Titan Storage Containers acquisitions. While the core organic Modular rents increased a healthy 11%. Commercial and education rental revenues both increased, with particular strength in commercial. The average monthly rental rate for the quarter was 2.64%, which was 8% higher than a year ago and reflects improved pricing conditions. Average fleet utilization for the first quarter increased to 77.1% from 75.8%, even as we added more fleet reflecting improved market demand conditions. Higher rental revenues were partly offset by 57% higher inventory center costs and 35% higher depreciation expense, resulting in rental margins of 55% compared to 60% a year ago. The higher inventory center costs reflect the addition of the acquired businesses, higher business activity levels as we prepared equipment to meet the strong bookings levels that Joe mentioned earlier, as well as some inflation pressures for materials and labor costs. As we experienced some rental margin pressure in the quarter, it is important to note that expenses to prepare equipment are realized in the period incurred, but offsetting price increases that are included in rental revenues are realized over the term of the lease. Sales revenues increased $2.8 million to $10.4 million from both increased new and used equipment sales, consistent with our initiatives to capture more new Modular equipment sales projects. At TRS-RenTelco, total revenues were comparable to the previous year at $33.5 million. Rental revenues for the quarter increased 5%. We saw improved demand for communications equipment rentals, which increased 11% and continued strength in general purpose rentals, up 2% compared to a year ago. The average monthly rental rate for the quarter was 4.01%, up 1% compared to a year ago. This slightly higher average rental rate coupled with 4% higher average equipment on rent reflects good demand and pricing for general purpose and communications equipment rentals. Average utilization for the first quarter was 64.6%, compared to 68.1% a year ago and rental margins were 41%, compared to 42% a year ago. Sales revenues declined 24% year-over-year to $3.9 million, with gross profit decreasing 15% to $2.4 million. Our sales of used rental equipment and related gross margins routinely fluctuate and depend on customer requirements and funding, equipment availability and related mix of equipment sold. At Adler Tank Rentals total revenues increased $2.6 million or 15% to $20.3 million on higher rental, rental related services and sales revenues. Rental revenues for the quarter increased 17%, demand improvement was broad-based across our five geographic regions and six industry verticals, and reflects further recovery from pandemic lows at Adler markets. The average monthly rental rate for the quarter was 3.17%, compared to 3.21% a year earlier, primarily due to mix changes during the quarter. Average utilization for the first quarter increased to 48.3% from 40.3% and rental margins improved to 51%, compared to 48% a year ago. The remainder of my first quarter comments will be on a total company basis. Selling and administrative expenses increased $6 million or 18% to $39.1 million. Drivers of the increase were $4.3 million higher employee salaries and benefit costs, primarily due to the addition of Design Space and Kitchens To Go employees, and $1.4 million higher amortization of intangible assets. Interest expense was $2.8 million, an increase of $1 million, the result of higher average debt levels attributable to our strategic acquisitions last year, partly offset by lower average interest rates. The first quarter provision for income taxes was based on an effective tax rate of 23.5%, compared to 21.3% a year earlier. The increased rate this year was due to lower excess tax benefits from stock compensation and to increased business activity levels in higher tax rate states. Given the recent increase in interest rate outlook, we now expect full year interest expense to be approximately $13 million to $14 million, compared to our February estimate of $12.5 million to $13 million. Turning to our year-to-date cash flow highlights. Net cash provided by operating activities was $51.7 million, an increase of $14.1 million. Rental equipment purchases were $39.4 million, compared to $18 million in the prior year, reflecting increased demand compared to a year ago. Healthy cash generation allowed us to pay $11 million in dividends and reduced debt by $2.5 million. At quarter end, we had net borrowings of $424 million, comprised of $160 million notes outstanding and $264 million under our credit facility, with capacity to borrow an additional $168 million under our lines of credit. The ratio of funded debt to the last 12 months actual adjusted EBITDA was 1.67 to 1. Finally, we confirm the financial outlook that was previously provided in February. The positive rental demand trends across each of our business segments continue to be encouraging. For 2022, we currently expect total revenue between $675 million and $705 million, adjusted EBITDA between $260 million and $275 million, and gross rental equipment capital expenditures between $117 million and $127 million. That concludes our prepared remarks. Norma, you may now open the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Scott Schneeberger with Oppenheimer. Your line is now open.
Scott Schneeberger: Hey, Joe. Hey, Keith.
Joe Hanna: Hi, Scott.
Scott Schneeberger: I was curious how you are approaching pricing in this inflationary environment, how your conversations are going with customers and just a general feel for your assertiveness and the receptivity?
Joe Hanna: Sure. Scott, essentially, it’s a good question, and essentially, we are paying a lot of attention to this issue clearly, because of the inflationary pressures that we are seeing in the business. I would say we have multiple ways that we can raise pricing for our customers. One way is through rental rates, one way is through the pricing that we charge for modifications for projects in our inventory centers, pricing that we charge for damages to buildings, rates for ancillary services that we charge to customers, and then the other things like even fuel surcharges for transportation. And so we are finding the environment for us to adjust up all across those different segments is actually pretty good, customers are receptive, because at this point they are seeing this inflationary pressure all across the projects that they are working on. And so since we are typically a small part of the overall project scope in a construction project we are finding that we are able to pass these projects, I am sorry, these price increases along pretty effectively. So we are paying a lot of attention to it and we have very good tools to help us make this happen and so we feel good about it.
Scott Schneeberger: Great. Thanks. And maybe a comment Joe on Mobile Modular Plus and what you are seeing here is we are in the spring uptick and how much you are able to apply that on new rentals.
Joe Hanna: Sure. All of the different initiatives that we have talked about in prior calls are SRs, Mobile Modular Plus and our CMS efforts are all seeing positive growth and we did see positive growth in our Mobile Modular Plus in the quarter and we anticipate that’s going to continue to grow nicely throughout the year. So we are very positive about that and we are anticipating good growth in that part of the business, as we continue to unroll this relatively early initiative for us.
Scott Schneeberger: Okay. Great. Thanks. I am going to ask one more each in TRS and Adler. In TRS, if you could just address the 5G impact and where that is, it felt like that slowed down or stalled a little bit with the pandemic, I want to know how much of that’s accelerated in recent quarters? Thanks.
Joe Hanna: Sure. It appears as though the carriers are definitely spending more time in the field trying to get more dense coverage on their networks and so not only are we seeing very good wired communications rentals as they continue to expand that pipeline up to all the towers and through all the backhaul infrastructure, but we are also seeing more testing going on towers as they continue to build out that part of the network. So very positive, I know it’s been a little slower over the last several quarters than we had originally anticipated, but we are seeing that pick up, and that’s a real good sign for us.
Scott Schneeberger: Great. Thanks. And then I imagine in oil and gas vertical, you are probably seeing some really nice trends in Adler, but if you could address your, I think, it is six different end market verticals and what you are seeing across those? Thank you.
Joe Hanna: Sure. I would say, yes, you are right. We are seeing more activity in oil and gas, and some of that is in plants its downstream, more projects now that had been delayed in prior years and due to the COVID slowdowns are now being funded and executed as the maintenance activity is really need to happen on a regular basis and you can only delay them so long. So we are seeing that. But the other verticals, we had particular strength in the environmental services vertical, and that includes cleanups and things like that are not necessarily a part of the oil and gas vertical and so that’s very encouraging to see that also. But in some of the other ones too, like construction and industrial, we are also seeing growth in those verticals. So very broad based and very encouraging at this point in the year, and we are excited about the remainder of the year for that business.
Scott Schneeberger: Are you seeing growth across every single vertical or is there any one that’s laggard?
Joe Hanna: Really, they are all strong, and no, there’s really no laggard, Scott. I mean, they are all in good shape and they are all growing.
Scott Schneeberger: All right. Great. Good to hear. Thanks…
Joe Hanna: Yeah.
Scott Schneeberger: Thanks for the time.
Joe Hanna: Thanks, Scott.
Operator: Thank you. [Operator Instructions] Ladies and gentlemen that appears to be the last question. Let me now turn the call back over to Mr. Hanna for any closing remarks.
Joe Hanna: Okay. Norma, thank you. I’d like to thank everyone for joining us on today’s call and for your continuing interest in our company. We look forward to speaking with you again in late July 2022 to review our second quarter results.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.